Operator: Good morning, and welcome to the W.P. Carey First Quarter 2015 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I'd now like to turn the conference over to Peter Sands, Director of Institutional Investor Relations. Please go ahead.
Peter Sands: Good morning everyone and thank you for joining us on this conference call to review our 2015 first quarter results. Joining us today are Trevor Bond, President and Chief Executive Officer; and Katy Rice, Chief Financial Officer. An online rebroadcast of this conference call will be made available in the Investor Relations section of our website at wpcarey.com, where it will be archived for approximately 90 days. I would also like to remind everyone that some of the statements made on this call are not historic facts and may be deemed forward-looking statements. Factors that could cause actual results to differ materially from W.P. Carey’s expectations are provided in our SEC filings. And with that, I will hand the call over to Trevor.
Trevor Bond: Thanks, Peter, and thanks everyone for joining us. I’ll discuss our own real estate portfolio and our investment management business, and then Katy will discuss our first quarter financial results and balance sheet. Starting with some of the headline numbers. For the 2015 first quarter, we generated adjusted funds from operations, or AFFO, of $130 million, or $1.22 per diluted share, and during the first quarter, we raised our quarterly dividend $0.9525 per share marking our 56th consecutive quarterly increase, and equivalent to an annualized dividend rate of $3.81 per share. Based on Friday’s closing stock price, this equates to an annualized dividend yield of close to 6%. Turning to our owned real estate portfolio, which is our core business. During the first quarter, we completed two acquisitions for our owned portfolio totaling $394 million, comprised first of our $351 million acquisition of a portfolio of 73 automotive retail sites located throughout the UK and net leased to Pendragon. I’d discussed this transaction’s some detail last quarter. The second transaction was our $43 million acquisition of a logistics facility in the Port of Rotterdam in the Netherlands, net leased to Nippon Express. Both transactions involve strategically important real estate net leased to quality companies on long-term leases with built-in rent increases and therefore exemplify the types of transactions we look to do. Our first quarter acquisition had a weighted average cap rate of approximately 7% and a weighted-average lease term of approximately 14.5 years. Since quarter end, we’ve added one additional property to our owned portfolio, a retail facility acquired for approximately $25 million, net leased to an Austrian subsidiary of Hornbach, which is a well known German do-it-yourself retailer. Net leased term on that is 15 years and also includes annual CPI based rent escalations. First quarter dispositions were light, totaling approximately $14 million. We expect further capital recycling this year with a focus on extending lease term, improving credit quality and increasing asset criticality within the portfolio. At the end of the first quarter, the company’s owned real estate portfolio consisted of 852 net lease properties, comprising 89.2 million square feet leased to 219 tenants, and four operating properties. Portfolio occupancy remained high at 98.4%, and weighted average lease term stood at 9.2 years, up slightly from 9.1 years at the end of the 2014 fourth quarter, primarily due to the two deals we closed in the first quarter. As a reminder at the end of the 2014 first quarter, a year ago, the weighted average lease term was 8.7 years. So, we feel we’ve made good progress towards our goal of extending the weighted average lease term of our portfolio through these acquisitions and the capital recycling that we’ve done over the last 12 months. At quarter end approximately 65% of annualized base rent came from our U.S. properties with the remaining 35% generated by our international properties, which are located mainly in Western and Northern Europe. At the end of the first quarter, approximately 95% of our annualized base rent came from leases with contractual rent escalations, either linked to CPI or through fixed rent increases providing built-in revenue growth. Since they are net leases, tenants are responsible for the costs associated with operating and maintaining the properties. So, we have virtually no exposure to rising operating expenses. Looking at our same store rent growth, rents were approximately 1.7% higher compared to year-ago quarter. Please note, this analysis excludes any properties sold, acquired, vacated or subject to lease modifications and therefore captures about 85% of our owned portfolio annualized base rent and as before the impact of currency movements. Although, we’re currently in a low inflation environment, if inflation picks up, we would expect upside to our same-store rent growth. Regarding re-leasing activity, five leases were renewed or extended during the first quarter, recapturing 100% of the then prevalent rent. We also entered into five new leases, which had a weighted average lease term of 11.5 years, compared to 9.2 years for our overall portfolio. Please note that in aggregate, the re-leasing and new leasing activity that I am referring to represented just under 1.5% of our portfolios total square footage at the end of the first quarter, clearly a very small component of our overall portfolio. Looking ahead, the investment environment in the United States remains very competitive as investors chase yield across primary, secondary and even tertiary markets, some have proven willing to compromise on lease structure in order to maintain yield. We are however staying disciplined. If interest rates continue to rise, eventually we would expect that to be reflected in the cap rates that buyers are willing to pay. In Europe, investment conditions are still more favorable, given higher cap rates and lower debt costs than here in the U.S. However, competition for deals has picked up in 2015 as European investors are starting to return to the market and certain U.S. investors are becoming more active in Europe, which is something we expect to see more of over time. Turning briefly to our investment management business; during the 2015 first quarter, investor capital flows totaled $99 million. As you may recall, our first lodging fund, Carey Watermark Investors, completed its follow on offering at the end of the fourth quarter in 2014. So our first quarter influences were entirely into CPA 18 Global through the sale of its trailing modes Class C shares. This completed CPA 18’s initial public offering and we currently expected to be fully invested early in 2016, at which time our allocation strategy will pivot such that all net lease acquisitions will first be considered for our balance sheet. I want to emphasis this point, as we continue to get questions about it. Once CPA 18 is fully invested, net lease acquisitions will be for W.P. Carey's balance sheet, therefore enhancing our growth opportunities. And with that, I’ll hand over to Katy.
Katy Rice: Thank you Trevor and good morning everyone. I’m going to briefly review our 2015 first quarter results and touch on some of our balance sheet metrics, before turning it back to the operator for your questions. We’re reporting our earnings slightly later than usual this quarter in order to finalize the implementation of a new firm-wide enterprise resource planning system. Specifically, we installed Oracle’s JD Edward’s EnterpriseOne System and the Hyperion Financial analysis suite of products, which provide a sophisticated, scalable and global solution that integrates our accounting, tax, and financial planning systems into one platform and provides best practices for our data management and control environment. We now have a world class ERP system, one that’s used by many of the top REITs and we’re excited by the benefits and efficiencies that will provide going forward. It has been a major undertaking for the company and a large number of our employees have worked tirelessly on it for many months. So, I’d like to take this opportunity to thank them for all of their hard work and dedication. Turning to AFFO, for the 2015 first quarter, we generated AFFO per diluted share of $1.22, which is up 2.5% from $1.19 per diluted share for the 2014 fourth quarter, primarily reflecting additional income generated from real estate acquisitions and lower income tax expense, which were partly offset by lower structuring revenue due to reduced investment activity on behalf of the managed REITs and the impact of a stronger U.S. dollar, net of gains on our foreign currency hedges. Comparisons to the 2014 first quarter are not particularly meaningful in our view because as we said at that time AFFO per diluted share for the 2014 first quarter did not represent a run rate given certain tax benefits and one-time items largely related to the CPA 16 merger. Turning to the impact of foreign currency on our AFFO, as Trevor noted, approximately 35% of our annualized based rent at the end of the 2015 first quarter came from real estate located outside the U.S., primarily in Europe. Compared to the 2014 fourth quarter, euro U.S. dollar exchange rate used in the calculations of our AFFO declined about 10% in combination with other currency movements and the net gains on our currency hedges this reduced our first quarter AFFO by approximately $0.02 per diluted share. We managed the risk to our cash flows and dividend from fluctuations in the euro by funding our European acquisitions with euro denominated debt and by actively hedging the majority of the remaining euro denominated net cash flows. Last quarter, I talked about the theoretical impact of a further decline in the euro on our AFFO guidance. Noting that if the euro had gone to parity on January 1st and stayed there all year, we would expect our full year 2015 AFFO per diluted share to be reduced by approximately $0.07. Although more recently the euro has been less volatile, we thought it would be helpful to update that sensitivity analysis. If the euro had moved to parity with the U.S. dollar at the start of the second quarter and remain there for the rest of the year. We would expect our full year 2015 AFFO per diluted share to be reduced by approximately $0.05, equivalent to 1% reduction at the midpoint of our guidance range. This is of course a theoretical impact, but it does illustrate the effectiveness of our hedging strategy and shows that the potential impact on our full year AFFO guidance due to further euro weakness has narrowed since last quarter. Turning to our balance sheet and leverage metrics, at the end of the first quarter, our pro rata net debt to enterprise value stood at 36.5%, total consolidated debt to gross assets was about 48%, and pro rata net debt to adjusted EBITDA was approximately 5.6 times. We view our near-term debt maturities are very manageable with approximately $141 million maturing over the remainder of 2015 and $264 million maturing in 2016. At the end of the first quarter, we had approximately 1.3 billion of remaining capacity on our credit facility. Based on that capacity, combined with our recent debt to capital markets activity, we’re confident that we able to manage our near-term debt maturities. At quarter end, the weighted average cost of our non-recourse debt was 5.3%, and our overall weighted average cost of debt was 4.3%. We look further out of the total debt maturing over the next few years; the majority is secured debt with interest rates above where we believe we could issue unsecured debt today. While rates have moved up since our most recent bond issuance and may continue to do so, we believe there is still a meaningful cushion between the higher rates we’re currently paying on secured debt that is maturing and the interest rates we would expect to pay on newly issued unsecured debt. We also continue to make progress with growing our unencumbered pool of assets as all on balance sheet acquisitions are funded with unsecured debt. To wrap up, I’d like to quickly review our 2015 guidance. We’re reaffirming our 2015 AFFO guidance range of between $4.76 and $5.02 per diluted share. This is based on assumed total acquisition volume of approximately $2.4 billion to $3.1 billion with roughly $400 million to $600 million of that going to W.P. Carey’s balance sheet and approximately $2 billion to $2.5 billion of acquisitions for the managed REIT. It also assumes approximately $100 million to $200 million of dispositions from our owned real estate portfolio as part of our capital recycling efforts. Given the level of on balance sheet acquisitions we’ve completed year to-date and deals in our pipeline; we would expect to be towards the top of our acquisition target range. However because new acquisitions are likely to be weighted towards the second half of the year, they would have less of an impact on AFFO. So we are maintaining our guidance range for AFFO per diluted share. And with that I’ll turn it back to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Sheila McGrath from Evercore. Please go ahead.
Sheila McGrath: Yes, good morning. Trevor, you mentioned in the Q or in the release that CPA 18 has done with fund raising. I’m just wondering if you could give us an idea how much dry powder is there to invest for CPA 18 and when you think you will hit that crossover point in time where all the net lease acquisitions will be on balance sheet.
Trevor Bond: Thanks for the question Sheila. About $300 million…
Katy Rice: Equity…
Trevor Bond: Of equity remains in CPA 18 and we has mentioned in the remarks expect that the fund will be fully invested by early 2016 although of course as we always caveat that can slip or be accelerated depending on one or two large deals that may come along.
Sheila McGrath: Okay. And then you’ve also mentioned CWI 2 will be selling both A and T shares. I’m just wondering is that the same for the BDC and how we should think about that kind of the mix as the classes of shares for CWI 2.
Trevor Bond: That’s correct. CWI 2 will have the more traditional front end loaded shares and as well as the trailing shares which are all called T shares now. The BDC will have a slightly different structure and we expect more of the weight in that towards the T shares. That’s still under SEC review and it is not affected yet and when it is, it will be reviewable by the public.
Sheila McGrath: Okay. And then if you could just give us like the big picture, your view of the Department of Labor, their potentially new regulations and on fiduciary, just your big picture view of those – the status of that and if there is any impact potentially to your business.
Trevor Bond: Sure. In the short run, we’re most focused on whether we have sufficient dry power to execute our business plan in both the hotel segment and then the diversified segment. And as I mentioned we have plenty of dry powder and we don’t believe that the regulations are going to come into effect and have any impact on the current funds. We think it will be 2017 at the earliest, so as CPA 18 as we mentioned is already through its fund raising, it won’t have any impact on them. We believe it will have an impact at some point. I think they were very well positioned with the T shares and with some of the innovations that we’ve put forward in the industry. And so I think that it will probably be harder for some of our competitors whose business is predicated on profitability driven by fees earned on raising capital or on accelerated turnover of funds, but that’s never been our business model and in fact capital raising for us, we’ve always considered to be really essentially a break even business. It’s way to provide capital to grow assets under management and we’ve always saw it to maintain equilibrium between the money that we’ve raised and the opportunity sets that we see and we’re currently very much in that mode.
Sheila McGrath: Okay, thank you.
Operator: The next question comes from Nick Joseph with Citigroup. Please go ahead.
Nick Joseph: Thanks. In terms of the on balance sheet acquisitions, why not increase full-year guidance at this point as you already above the bottom end of the range. And can you talk about the acquisition pipeline today and expectations in terms of volume and cap rates for the reminder of the year?
Katy Rice: Yes, I’ll take a start at that. I think I’ve mentioned in my remarks, we do have about a little over $400 million on balance sheet already this year and we do have a fairly good pipeline building. I think in terms of guidance, we decided to keep our guidance unchanged as of right now. It’s early in the year; I think most of the transactions that we’re looking at would probably close later in the year and not contribute as much to AFFO this year. And then…
Nick Joseph: Excellent, what…
Trevor Bond: Well, I think – Nick, I’m sorry to interrupt. There is also some inherent uncertainty and it’s really just prudent that leads us to that conclusion.
Nick Joseph: Okay.
Trevor Bond: We’re in a very competitive environment and we’re looking at several large transactions and there have been more bigger corporate transactions that have come out and those will all be disclosed that were competitively bid out to others. We participated but ended up not being the winning bidder. But we are starting to see some of these large transactions. And so if more of that type of activity takes place before the end of the year then there could be more volume, but it’s just very difficult to tell what the corporate owners will be doing or thinking with respect to property dispositions.
Nick Joseph: Are you seeing those opportunities more in the U.S. or international?
Trevor Bond: The ones that I just mentioned were in the U.S. I believe that as the chance as interest rates are in fact rising because of the bond markets and interest rate expectations rise then you're likely to have corporate CFOs who are starting to look at sale-lease back as potentially a viable alternative to borrowing.
Katy Rice: But I would say a lot of the pipeline that’s on the table right now is in Europe.
Nick Joseph: Thanks. And then you mentioned the rise in interest rates, what impact have you seen or have you seen any thus far in terms of cap rates and kind of deal?
Trevor Bond: Not much to be honest. We think it certainly have made us and others more cautious, but at the same time as I mentioned in my remarks there is a lot of capital here in the United States now that seem to be less sensitive to that, less concerned about the rise in interest rates and therefore continuing to bid aggressively on assets that have yield such as net lease assets. So I think it’s causing – it hasn’t yet and got to the point where cap rates have widened as a result of interest rate here. So eventually as rates rise, that is likely to happen, we just haven’t seen it happen yet.
Nick Joseph: Thanks.
Operator: The next question comes from Todd Stender with Wells Fargo. Please go ahead.
Todd Stender: Hi, thanks. And just to kind of follow-up on that last theme, Trevor you mentioned you’re bidding on large sale lease backs. How do you view your cost of capital right now compared to some of the other large players, particularly in the REITs? Is it as competitive as you’d like it right now? How do you kind of think about that?
Trevor Bond: Well, I think, we would always like it to be more, more competitive as reflected by a higher multiple. Certainly, the company aspires to multiple – more closely related to those who are at the top end of the range and we were optimistic that at some point, we’ll be able to get there. But we also are cognizant of the fact that we know the reasons that might be leading to somewhat of a lower multiple. On the other hand, I think that our ability to raise debt in Europe gives us an advantage at least on the cost of debt side that then brings down the weighted average cost of capital as compared to those were completely focused in the U.S. So for the deals that are in our pipeline and the deals that we closed, they were purchased attractive risk adjusted returns and certainly had a favorable relationship to our cost of capital. And we stay patience and we don’t do deals that don’t have that same relationship.
Todd Stender: Okay, thanks. And just kind of the standard theme of the cost of capital now that you’re shifting to only investing in net lease on balance sheet how will your underwriting change if any since you have a lower cost of capital on the W.P. Carey side and you don’t have acquisition fees on that side as well. Maybe you’re just thinking about the quality of assets that you’ll target and maybe not going after the higher yielding ones?
Trevor Bond: Well, in fact, I think what it means is that we’ll have just a broader, deeper pool as W.P. Carey. We still feel comfortable with the risk adjusted returns even on the higher cap rate deals that you’re referring to that go into the CPAs. And I think if we still see deals that are leased to good companies and we determine that the company will be around for the 15 to 20 years of the rent term and beyond. And we can get good rent bumps as we usually do tied to CPI et cetera. Then we would continue to look at those as well. But I do think that it broadens our ability in W.P. Carey. So I would view it more constructively from that angle.
Todd Stender: Okay, great. And just kind of shifting to dispositions, can you give us a sense of the mix of what you sold in Q1 that were vacant and then maybe looking out for the rest of 2015 with the mix of occupied versus vacant properties, and if they are occupied what kind of lease duration is left?
Trevor Bond: I don’t have the specific break down of which were vacant. There weren’t really that many dispositions, Todd.
Katy Rice: Yes, it’s about $14 million in the first quarter. It was a lot of small properties that were old properties and really this is part of our capital recycling effort to increase our lease term and increase the quality of the real estate. So some of them were quite old and we thought it was best to sell them rather than continue to try to work them.
Todd Stender: Sure. What do you think – is there a liquid market per se five years left on the lease? Is there a kind of a threshold you guys like to focus on?
Katy Rice: Yes, typically we start that analysis about five years out for larger assets that might even be longer than that, but these were smaller assets with buyers in local markets rather than sort of larger buyers that would be looking for long lease terms. Typically, if we have assets – smaller assets that have very short lease terms, we’re looking to sell to an entrepreneurial buyer, who will either re-lease or repurpose the building. We may have owned it for 15 or 20 years.
Todd Stender: Great, thank you.
Operator: The next question comes from Juan Sanabria with Bank of America. Please go ahead.
Juan Sanabria: Hi, good morning. Katy, I was just hoping you could speak a little bit to the change and it seems like the definitions of your AFFO with regards to the hedging and what that means if anything for guidance?
Katy Rice: Sure. As you might have seen, we have – we detailed it in footnote in the supplemental where we walk through AFFO. We did change the definition of our AFFO this quarter. And really it’s part of a broader review that we’ve been undertaking for the last year or so as we’ve transitioned to being a REIT a couple of years ago. And that review includes thing like our J.D. Edwards Enterprise Software system, a lot of the disclosure enhancements that you’ve seen over the last few quarters. We also reviewed our AFFO definition really in an attempt to be sure that we were capturing all of the cash flow, if you will, properly. Last year with the acquisition of CPA 16, euro denominated assets became a much larger component of our revenue. We’ve always had our hedging program in place, but we did not include the gains or losses from our hedges in our AFFO definition. These are definitely cash flow items and when we thought about that we thought it made sense to include those gains or losses in our AFFO definition. We decided to do it in the first quarter just to create comparability this year and not mix definitions year-on-year. In terms of thinking about guidance, as I mentioned in my remarks, our currency gains or the gains from our hedges this quarter were about $0.02 per diluted share of AFFO. If you just annualize that it would be obviously $0.08, but I think it’s a little difficult to do that right now because the euro could continue to move around and that $0.02 was based on a euro at the end of the first quarter that was about $1.12. If the euro moves around that $0.02 could become $0.03 or could become $0.01, so we didn’t feel comfortable really moving our guidance based on just this change of AFFO. Obviously, the last point is there are a lot of components to our AFFO and we didn’t feel that at this point early in the year that it made sense to increase guidance just based on this change.
Juan Sanabria: Great, thank you. And then with regards to the balance sheet how should we be thinking of your debt capacity to fund continued acquisitions? Do you feel comfortable funding towards the high-end of leverage or would you look to the equity markets for that?
Katy Rice: Yes, we’re – we certainly have the capacity in terms of line of credit and what not, but your question is really related to leverage levels. We are comfortable in mid to high 40%, I think of it as total debt to gross assets. And as we moved through the year with additional acquisitions if they come sooner or rather than later, we might consider an equity transaction at some point later in the year to reduce leverage with those acquisitions.
Juan Sanabria: Great. And then just lastly from a G&A perspective, how should we think about the run rate I guess on cash G&A stripping out to stock – non-cash stock comp with the new systems I guess now in place?
Katy Rice: Yes, the Q1 G&A is of course higher than it was somewhat related to the system. It’s higher from last year also related to the acquisition of the CPA 16 with that merger obviously we have increase needs for asset management and accounting for those properties. And in addition, we’re doing some product development as we’ve mentioned on prior calls for our investment management business which has increased G&A a little bit. I think the Q1 is a pretty good run rate for the year.
Juan Sanabria: Great, thanks Katy.
Katy Rice: Thanks.
Operator: The next question comes from Vineet Khanna with Capital One Securities. Please go ahead.
Vineet Khanna: Yes, good morning. Most of my questions have been asked, but can you provide an update on the 12 leases that are set to expire this year?
Katy Rice: Yes, the leases that are expiring, they’re a little bit lumpy in terms of their size, there are a couple of larger ones and then a lot of smaller ones. And I think this year, in 2015, we have about 2.7% of our ABR expiring throughout the year and it’s a little lumpy in Q2. We clearly have a plan in place for each of these assets. And then on into 2016, we have about 3% of our ABR expiring. Again, it’s a little – they are not – they’re a little lumpy, one or two big assets, but then several smaller ones as well. So, it’s fairly evenly distributed in the next couple of years. And we clearly have a plan in place for certainly for each of the assets in 2015.
Vineet Khanna: Okay, that’s it from me. Thanks for taking my question.
Katy Rice: Thanks, Vineet.
Operator: The next question comes from Daniel Donlan with Ladenburg Thalmann. Please go ahead.
Daniel Donlan: Thank you and good morning. Just going back to Vineet’s question a little bit here, so what are we expecting for kind of retention in 2015 and how should we think about where the leases are rolling versus market?
Trevor Bond: I think on – where we don’t think we’ll retain two of the bigger tenants, Dan. And beyond that I can’t speak to what will happen in the space right now. It is a little early to talk about the tenants that are expiring in 2016 because we’re involved in negotiations with them on an ongoing basis.
Daniel Donlan: Okay, so should we expect [Audio Dip] to go away or how should we think about that?
Katy Rice: Yes, I mean that’s – Dan that’s definitely baked into our guidance, our AFFO guidance. One of the larger leases in that 2.7% of ABR, we’re in negotiations not to renew the lease and I think that that building perhaps will be repurposed by an entrepreneurial developer. That’s been an ongoing discussion for at least a year, if not two years. And then some of the other smaller ones, I don’t have the actual color, but in terms of lease roll down, I don’t have the month-to-month comparisons for you.
Daniel Donlan: Okay. And then as far as your CapEx, it looks like it was about $10.8 million this quarter, I think for the full-year of last year it was like $45 million, which was up from [indiscernible] million. So just kind of curious, are we into this – are we – is the CapEx going to jump around or should we kind of expect $40 million to $50 million of CapEx on a going forward basis?
Trevor Bond: It’s a difficult question to answer. We are opportunistic with respect to how we evaluate that. We don’t have a regular CapEx program. We’ll selectively add capital to properties that we feel that is going to result in a more solid high quality stream of earnings going forward. And so that I think, you can’t predict whether it’s going to be in the $30 million range or the $40 million range, but that as our year is unfolding and we prepare our guidance, we certainly do closely calculate those items as they become more clear to us.
Katy Rice: I think it’s fair to say obviously as a net lease REIT CapEx is not a big driver of returns, so it will be a relatively small number. I think it’s also as Trevor was mentioning, it’s lumpy. It sort of depends on which assets are rolling, but we don’t expect it to be a large component.
Daniel Donlan: Okay. And then as far as it looks like you guys don't include that in your AFFO and I was just kind of curious why you decide to exclude this all together and may be not include, may be even like maintenance CapEx number as your peers at least include that?
Katy Rice: Yes, I mean that’s something that we’ll continue to look at. Again, we don’t feel that it’s a particularly big driver, but we can certainly continue to look at that and see if we should be enhancing the disclosure on that.
Daniel Donlan: Okay. And then as far as the $3.2 million was that a lease termination fee – was that primarily a lease termination fees or was there anything else that might be somewhat recurring in that number?
Katy Rice: That was the lease termination.
Daniel Donlan: Okay. And then I guess just lastly on – kind of a conceptual basis, Trevor, you're able to hedge fairly well your exposure to Europe through usage of debt and hedging but I’m just curious you can’t heavily hedge your cost basis in some of these assets. So just curious if you whatever consider spinning out of the European portfolio to may be trade and Europe in euros, which would allow you kind of then to buy in euros versus buy in U.S. dollars and then kind of have to deal with the potential impact of hedging or the potential impact of currency moves relative to your cost of – the cost basis?
Trevor Bond: Well, I mean, I think it’s something that we think about all the time and there are tradeoffs involved with all of those sorts of major strategic decisions and it’s fair to say that we were considering those things and want to do what’s best for the shareholders in the long run. That’s not always a panacea and there are challenges involved in it. But I think right now we’re quite comfortable with the broader deeper pool that that being international gives us access to and what we like with respect to Europe right now as compared to the United States is that you have two non-correlated markets. And so whereas things are quite competitive here in the United States and cap rates have dipped below 6% on certain assets, in Europe that hasn’t happened yet, where – and also in the United States you have cap rate compressions and in some markets it feels you may be getting towards the top of the cycle, in Europe it feels quite different and you are arising off the bottom of the cycle. And so that from an NAV point of view, we expect that cap rate compression will occur and then our NAVs will improve over there. So that from the point of view of managing portfolio risk, which is really our job, we still believe it’s valuable to have both.
Katy Rice: Yes, and Dan just to drill down a little bit, if you think about a NAV, which I’m sure you do, obviously assets are impacted by the lower euro negatively, but liabilities are impacted positively. So I think when we sort of looked at that impact based on the most recent quarter, the delta might be a NAV delta of down 1% to 2%.
Daniel Donlan: Okay. And then lastly kind of on Carey Financial, your broker dealer business, any thoughts on just given the Department of Labor stuff and I know you guys touched on that, but any thought in separating this business out from the REIT in the next few years. I think it’s something that we continue to get questions on given that I think it probably pushes down your AFFO multiple relative to the other names and as you are shifting to be more on balance sheet acquirer, how do you think about that impacting your ability to do stuff accretively? I mean if you didn’t have the broker dealer embedded in there, you might traded up significantly higher AFFO multiple, which will allow you to do more accretive on balance sheet acquisitions.
Trevor Bond: Well, certainly that’s one possibility in terms of what would happen if we spun off the investment management arm. It’s not the kind of thing that you do without a lot of thought. And I would answer the question in much of the same way that I discussed the possibility of European spin off. Right now, we think there is a tremendous amount of embedded value in the investment management platform and we want to make sure that we are able to fully realize that for our shareholders. And so, we’re trying to look at that responsibly and we’ve been making a lot of strides I think in enhancing the value of that platform while at the same time pivoting away from net lease. So that with the addition of the hotel product, which is firmly established now, we hope for the same with our BDC business going forward and then other forms of real estates we continue to believe we can enhance the value of the investment management platform whether it’s within the W.P. Carey umbrella or whether at some point decided that that has more value outside of W.P. Carey. So that for now, we find, as we’ve said many times, it’s helpful for us to have a non-correlated kind of income stream. It does help us to pay our dividend because at the end of the day that’s really what it’s about. It is growing our AFFO, growing our dividend, and making good use of the skills that we have in house and we believe that there are many participants in the market, who agree with that approach and therefore they’ve invested in the stock and we still realize that we have ways to go with other investors. And so that it’s something that we’re thinking about all the time.
Daniel Donlan: Okay. And then I guess since you’re pivoting away from net lease to some degree with the non-traded, is there any ability to reduce G&A associated with that or is – because you're still going to be requiring a significant amount of assets, those folks will just simply move [Audio Dip] that enterprise will just move to being more in house at the REIT level?
Trevor Bond: Yes, in fact most of the people, the team that’s responsible for managing the net lease portfolio is this same team that does it either on balance sheet or on behalf of the fund. It’s the same individuals. So really you’re talking about what allocation of a person’s time is spent on one versus the other. So that’s not something where there would be a dramatic shift as we reduce that business in the managed fund business.
Daniel Donlan: Okay, thank you Trevor. I really appreciate the commentary and Katy as well.
Trevor Bond: Thank you, Dan.
Operator: [Operator Instructions] The next question is a follow-up from Juan Sanabria with Bank of America. Please go ahead.
Juan Sanabria: Hi, thanks for the time. Just wondering if you could go a little bit further into the CapEx spend, what for the first quarter really maintenance and what was more or I guess redevelopment type work for any assets that may or may not be vacant and if you can give us a sense particularly for the office assets what the typical releasing cost you see or maybe by geography if it differs materially?
Trevor Bond: Well, it’s a small number as we said. And I would say that with respect to the first part of your question that portion, which is maintenance versus repositioning or what not, it’s more the latter. These are opportunistic investments that we make. The team presents us with a possibility, for example, of adding some capital in order to retain a tenant or to extend the lease term and we do an NPV of that alternative as opposed to just selling the building may perhaps without that tenant. And after looking at a lot of different possibilities, we selected the one at least that pertains to this past quarter the opportunities that requires some capital, but as I said before, positioned us with a better quality stream of income over the next 10 years or 15 years. So typically that is going to be where we spend our CapEx, not on typical sort of TI dollars and leasing commissions that you would spend when you reposition a single tenant asset into multi-tenant for instance. We typically don’t have a lot of that type of expense either because we’ve succeeded in getting the tenant to extend their lease or we’ve decided years before the lease expiration to sell the building to somebody, who is willing to take more residual risk than we are. We have very few actual operating properties. And that’s one reason why we don’t want to deploy the time and the resources to doing a lot of turnover type of expenditures.
Katy Rice: And Juan, in Q1 that was a good portion of the Q1 CapEx that you’re seeing related to a single repositioning.
Juan Sanabria: Okay.
Trevor Bond: And that was to a very high quality credit that where we got significant additional lease terms.
Juan Sanabria: Was there any material change in perhaps – could you compare the prior rent versus the new rent post the repositioning? Or was it really all about lease term?
Katy Rice: Yes, I mean often times we will lower rent in order to say we’re coming off of 15-year lease maybe market rents because we’ve been escalating them by inflation or another metrics for 15 years have increased to the point where it doesn’t make as much sense for the market or the tenant. So it’s part of that repositioning after so many years. We will often reduce rent to a more market level, create some level of TI package and then increase the lease term and sort of redo the lease. I mean that’s what obviously people – with that multi-tenant office buildings struggle with constantly, we just have it at the end of the each lease, long lease.
Juan Sanabria: Okay. I think this was asked before, but I’m not sure if I understood, if I heard the answer. What’s sort of the market to market of the lease expirations maybe this year and next year that we should be expecting, is it down sort of low double digits or?
Trevor Bond: No, this year, well, for the leasing activity that we’re reporting in this quarter it was – we recaptured all the rent.
Juan Sanabria: And going forward for the balance of the year?
Katy Rice: Yes, Juan, I think it’s a little hard. It’s lumpy because this year and each year we might have a one or two larger assets that we may be selling or repositioning like the one we were just talking about where rents might roll down. It’s not a great, I know this is frustrating to people because they want to be able to model something, but it is – the assets are really variable, they can be in the U.S., they can be in different markets in Europe. There is not really a great run rate for that activity. I mean, it’s our job to keep that activity as small as possible each quarter. So – but there is not a great run rate answer.
Juan Sanabria: Okay. Thank you very much.
Trevor Bond: Typically, our approach has been to just talk about it on this call at the end of the quarter and reflect back and say here is what our experience is and actually if you – one reviewed our – the earnings calls over the past several quarters, you’d see exactly how that unfolded and that would be a better indicator.
Juan Sanabria: Thank you.
Trevor Bond: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Peter Sands for any closing remarks.